Operator: Good morning everyone. My name is Bertney and I will be your conference operator. At this time I like to welcome everyone to the RVL Pharmaceuticals First Quarter 2022 Financial Results Call. All lines have been placed on mute prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] 
Lisa Wilson: Thank you, operator. Welcome to RVL Pharmaceuticals, first quarter 2022 financial results and commercial update call. This is Lisa Wilson, Investor Relations for RVL. With me on today's call are RVL’s Chief Executive Officer, Brian Markison; Chief Operational Officer, JD Schaub; and Interim Chief Financial Officer, Mike DePetris. This morning, the company issued a press release detailing financial results for the three months ended March 31, 2021. This press release and a webcast of this call can be accessed through the Investors section of the RVL website at rvlpharma.com.  Before we get started, I would like to remind everyone that any statements made on today's conference call that express a belief, expectation, projection, forecast, anticipation, or intent regarding future events, and the company's future performance may be considered forward-looking statements as defined by the Private Securities Litigation Reform Act. These forward-looking statements are based upon information available to RVL's management as of today, and involve risks and uncertainties, including those noted in the press release and our filings with the Securities and Exchange Commission. Such forward-looking statements are not guarantees of future performance. Actual results may differ materially from those projected in the forward-looking statements. RVL specifically disclaims any intent or obligation to update these forward-looking statements, except as required by law. During this call, we may refer to non-GAAP financial measures such as adjusted EBITDA. For a reconciliation of adjusted EBITDA to net income or loss from continuing operations, please see the tables at the end of today’s press release. The archived webcast of this call will be available for one year on RVL’s website, rvlpharma.com. For the benefit of those who may be listening to the replay or archived webcast, this call was held and recorded on Thursday, May 12 2022. Since then RVL may have made announcements related to the topics discussed, so please reference to company's most recent press releases and SEC filings.  And with that I’ll turn the call over to RVL's CEO, Brian Markison.
Brian Markison: Good morning and thank you for joining our call. We're off to a great start with the first quarter behind us. We continue to grow in line with our plan. Through the end of last week, we have activated over 1,600 accounts with our second quarter plan continuing to open new accounts and drive utilization or depth from recently opened accounts to generate a reorder cadence that we plan to report on in the future. The recent award we received from Shape Magazine adds to the mounting evidence of social proof and joins awards and/or mentions from the likes of Vogue, El, Laure, NewBeauty and People to name a few. As we look ahead, we plan to increase the aesthetic sales team at the beginning of Q3, expand a small insight sales and customer service group and increase our educational presence in aesthetics, all within the expense guidance we have previously discussed. As we continue to build the eye care and aesthetics markets, we are confident that the growth levers are clear and most importantly, the efficacy and safety of UPNEEQ continue to drive patient and provide us satisfaction. Now it's important to keep in mind a few things. First, as we create a market in eye care and aesthetics, we have no competition and are not defined by market share in a category. We are our own category. And second, the safety and efficacy of UPNEEQ combined with an attractive margin profile have, and will see rapid and widespread utilization for those patients who have droopy eyelids or blepharoptosis. Now I'd like to turn the call over to Mike DePetris, who happened to joining our team in January in a consulting capacity, assume the interim CFO role in mid-April following Andy's departure. Now just shy a month into the role Mike has been coming up to speed and we'll cover our Q1 financial results in some depth. Mike?
Mike DePetris: Thank you, Brian. And good morning to everyone. I'll begin by providing commentary on our quarterly results of continuing operations specific to the first quarter of 2022, with references back to the first and fourth quarters as appropriate. A reminder that our quarterly info and highlights can be found in today's earnings press release. With regard to our quarterly report on Form 10-Q we anticipate filing that with the SEC later today after markets. Total revenues for Q1 increased by $20.5 million to $21.4 million, primarily due to $15.5 million of licensing revenues, unique to the 2022 period and also due to a $5.1 million year-over-year increase in net product sales of UPNEEQ. As announced in late March, we amended a license agreement with our global partner, Santen, effective March 31, expanding our relationship and allowing Santen to take on more territories and buy out approval milestones for Japan, China, and the European Union. With the license with the licensing earnings process now complete upon signing; RVL immediately recognized the Santen licensing income in Q1. Although we had to wait till mid-April to receive the Santen cash. Net product sales, which relate entirely to sales of UPNEEQ, increased by $5.1 million to $5.9 million in the 2022 period as compared to $0.8 million in the 2021 period. The increase was mostly due to higher sales volume, reflecting expanded commercialization into eye care markets and, effective in February 2022, the medical aesthetics market. Most importantly, sequential sales of UPNEEQ were up $2.8 million or 90% from the fourth quarter of 2021. Total cost a good sold for Q1 increased by $1.4 million to $2.1 million. The increase was primarily driven by $0.8 million in higher product costs for UPNEEQ, influenced by higher sales volume and from $0.6 million relating to increased royalties and contingent milestone payments due under an intellectual property license agreement, each attributable to sales of UPNEEQ. On a reported basis, our gross profit percentage increased to 90% for the first quarter of 2022 compared to only 27% in the 2021 period when margins were more watered down to the relatively small commercial base. Take note that 90% margins are abnormally high because of the unique licensing revenue from Santen during the current period, excluding Santen licensing income, our gross profit percentage in Q1 would be approximately 64%, which we believe represents a more normalized margin rate for UPNEEQ at this time. We believe there are opportunities to expand margins as we go forward. Selling, general and administrative expenses for Q1 increased by $6.8 million to $23.8 million. The SG&A increase primarily reflects $6.8 million in higher compensation and training costs for the expanded sales force; $0.7 million of higher marketing expenses for UPNEEQ; and $0.7 million of transactional fees unique to the 2022 period. All being partly offset by approximately $1.1 million of lower legal and other professional fees. Research and development expenses for Q1 decreased by $1.3 million to $0.9 million. The decrease primarily reflects $0.6 million of lower personnel costs and $0.5 million in lower project spending on arbaclofen and UPNEEQ. Rounding out our commentary on operating income and unique to the first quarter of 2021 we recognize the $5.6 million gain on the sale of rights to Osmolex ER, a transaction that closed in January 2021. Moving below operating income. Total other non-operating activities in Q1 2022 contributed $1.5 million of net expense, largely reflecting $5.5 million of losses from the change in fair value of our debt and warrants, and $1 million of amortization expense from our financial commitment asset. Such expenses however were substantially offset by $5 million in contingent milestone gains earned in Q1 2022 following the sale of our legacy business to Alora Pharmaceuticals. Take note that any such contingent gains relating to the Alora sale for which there are tens of millions of dollars in potential future milestones remaining, these represent non-operating income, not revenues, and they'll only be recognized if ever when the related milestone is achieved. Importantly, the noted mark-to-market adjustments on both our term loan debt and our warrants each newly issued in October 2021 are a result of recent accounting determinations or elections that require us to re-measure these instruments at fair value each reporting period. As a result, the comparability of our results will be influenced by these re-measurements. CR Forms 10-K and 10-Q for additional information about these accounting determinations and measurements. By contrast in Q1 2021 total other non-operating activities were comparatively small and represented a net expense of $0.5 million consisting solely of interest expense and amortization related to our prior debt. Our net loss from continuing operations for the first quarter of 2022 was $6.8 million compared to a net loss of $13.8 million in the prior year quarter. Our adjusted EBITDA loss for the first quarter of 2022 was $18.9 million compared to a loss of $15.8 million in the prior year quarter. Finally turning now to our balance sheet and liquidity. As of March 31, 2022 we held cash and cash equivalent of $26.3 million. Our total debt and financing obligations at quarter end had aggregate principle amounts due of $56.5 million, including $55 million of long-term debt. As mentioned earlier, although we recognized $15.5 million of licensing revenues from Santen in Q1, our March 31st ending cash balance excludes the Santen cash, as the receivable was ultimately collected in April. Importantly, under our Note Purchase Agreement with Ethereum and subject to the satisfaction of certain conditions, which include a minimum net product sales target for UPNEEQ we can draw up to an additional $20 million of notes through October 2022. We believe it remains within our ability to timely satisfy the draw conditions and avail ourselves of this incremental cash borrowing as it may become necessary. Accordingly our near-term liquidity is stable and thereby allows us to fully invest and act upon our commercial ambitions for UPNEEQ. We remain highly focused on striking a balance between investing in our rapid commercial growth and prudently managing cash. With that I'd like to turn the call over to JD for some important commercial color. JD?
JD Schaub: Thanks Mike, and good morning, everyone. As you heard up front from Brian, we're excited about the continued growth and momentum coming out of a very strong first quarter. I'll begin with some updates on the eye care side before wrapping up on the aesthetic business. Our lead metrics within eye care have been a continuation of what we've seen throughout the first year plus of our launch. Still seeing first time prescriber growth of 150 to 200 every week as of this past week ending 05/07, paid our excess through our pharmacy reaching all time highs in weeks and a growing base of reordering accounts tied to our direct dispense program. As we described on our Q4 call, we have built broad brand awareness in eye care since launch with over 16,000 physicians having written a prescription. With that foundation our focus remains driving depth within a smaller group of practices in each territory, and building that in a step wise manner from quarter-to-quarter. We have seen a growing appreciation from our eye care providers around the functional impact of ptosis, as it relates to vision and ocular health. This message really resonates with providers and ultimately aligns with their overall goals as an eye care physician. Turning now to the aesthetic launch, as Brian mentioned up front, the receptivity has been tremendous. We are thrilled with the pace at which awareness in this channel has evolved through just 13 weeks and believe the impact has also spilled over into growing consumer awareness given how active these providers are on social media. There continues to be a growing interest in carrying the product from new accounts and the team has done an incredible job of balancing new customer acquisition with the time and education required to integrate a new technology into these busy practices. The result has been a growing group of reordering accounts, which is a strong leading indicator of the potential stickiness of this opportunity. Importantly, we are beginning to increase our presence beyond just the 50 person sales team from the first few months: layering in a growing presence at aesthetic meetings, launching additional peer-to-peer educational programs this month and expanding our sales footprint to about 80 territories. As we move forward, the focus remains building the market and establishing UPNEEQ as a routine part of the non-invasive or minimally invasive facial aesthetic protocol. From what we have seen, the product really sells itself. So the effort revolves around finding the time and busy practices to learn how to do something new in a simple and streamlined way that also supports the overall objectives for each practice from a patient outcome and business perspective. At the end of the day, we see this opportunity as an integral part of the more than 30,000 aesthetic practices out there and are thrilled with the early success. The aesthetic patient wants to look better and the asymmetry sleepy or tired look associated with low lying lids aligns with many of these patient needs. Lastly, the majority of these patients are looking for treatments that provide four things: natural looking results, immediate satisfaction, no downtime and no pain, all things that a product like UPNEEQ can deliver. With that I'd like to turn the call back to Brian.
Brian Markison: Thanks JD. I think you could tell we are extremely excited about our progress and the prospects for this brand. Operator, I'd like to turn it over to questions. Thank you.
Operator: [Operator Instructions] And we will take our first question from Douglas Tsao with H.C Wainwright. Your line is open.
Douglas Tsao: Hi, good morning. Thanks for taking the questions guys, and congrats on the great results. Just first, I'm just curious in terms of actual sales, what percent came from aesthetics versus eye care right now?
Brian Markison: Hi, Doug, good morning. JD you want to spoon that one? And what the question was what percent of our sales came from aesthetics versus eye care?
JD Schaub: Yes.
Brian Markison: So referencing the first quarter only.
JD Schaub: Yes. So I think what we saw coming out of the quarter, Doug, was a movement towards about 50/50. So from February through March, I think and as we moved into the second quarter it was a pretty even split between the two businesses. And I think kind of moving forward we've continued to see growth in both sides of the business. But obviously there's quite a bit of momentum in terms of receptivity and new account activations on the aesthetic side that are continuing to drive greater than 50% of the revenue here upfront.
Douglas Tsao: Okay, great. And that's helpful. And so should we assume though, JD, from your comments that it sort of ended at 50/50; but if we look at the total $5.9 million in aggregate probably a little bit weighted towards eye care still?
JD Schaub: Yes, that's fair.
Brian Markison: Okay. And then Doug, as we move through the year, we certainly expect aesthetic sales to surpass eye care fairly meaningful?
Douglas Tsao: Okay. And then just Brian, in the proxy that you recently filed, there was some language about sort of some of your top shareholders or [indiscernible] group sort of being willing to support the company or sort of getting a provision to being allow them to buy more stock without triggering Irish Takeover Rules. Could you just expand on that and just sort of clarify for investors some of the mechanics? Thank you.
Brian Markison: Yes. Thanks for asking the question and I'll admit it is a little complicated because we are an Irish company. But I'll try to simplify it a bit. Under the Irish Takeover Rules, since our insider group owns more than 30% of the outstanding shares, if in this case we, what they refer to in the proxy of the concert party were to increase our shares by more than 0.05%, which is a little bit, then we would be obligated to extend an all-cash offered to all the other shareholders of the company. So in essence making an offered to buy the company which seems a little unusual. We have – therefore we've asked the Irish Takeover Panel and they have agreed to waive this provision subject to a shareholder vote, which is Proposal 3 in the proxy, and it's very important. And I think the intention here is to protect all of the current shareholders. Should we see the need to raise additional capital and really just speaking for myself it can only be viewed as a sign of confidence in our business plan and all of this info is on our website including the letter from the Takeover Panel, and it's an important vote for us at the upcoming vote. So I appreciate you asking the question Doug.
Douglas Tsao: Okay, great. Thank you very much. That's helpful. So just to make sure, I think I understand, everybody understands, basically this will allow you to continue to support the company of the entirety to support the company without being forced to essentially buy the company?
Brian Markison: Correct. And also if we should choose to raise additional capital at the market with no discount we could choose to do that.
Douglas Tsao: Okay, great. Thank you so much.
Brian Markison: All right. Thanks Doug.
Operator: We'll take our next question from Louise Chen with Cantor. Your line is open.
Louise Chen: Hi, congratulations on all the progress this quarter, and thanks for taking my questions here. So I wanted to ask you, what are the pushes and pulls on your cash runway? I think you also talked about this $20 million draw down that you have. So just curious how you think about – how you want to allocate your resources here? And then secondly, one question that we get from people is the impact of inflation and price elasticity of your product; are you seeing any impact yet? Do you anticipate to, and what kind of price elasticity do you have? And then last question here, I know you got a lot going on already right now, but curious as you think going forward over the next couple of years, do you plan to add on adjacent products to your current product portfolio? Thank you.
Brian Markison: Louise, thanks for that bundle of questions. I don't mail all of them with JD and Mike, then please just tell us which one we didn't get. Two, do we plan to add more products? The answer is obviously we're, our history and our plan is to be acquisitive. But right now it's – its head down and build this brand. So until we can really establish ourselves and demonstrate the growth we're projecting, I think everything we're doing right now is focused on building this business. However, we've had a lot of people come to us with lots of ideas and we are definitely open to many of them. And if they can help us accelerate today's platform, then we're more than open to entertaining it. How far as – how we plan to use our current cash and capital runway, right now we are mostly driven by boots on the ground. I think in JD's remarks and I'll let him expand on it a bit. For us to open a new account is not really all that hard. I think taking a new modality, a new treatment, a new business if you will to these accounts and the time required to run a complete in-service, make sure everybody from the office manager, the esthetician, the injector, the clinician everybody needs to be on the same page and how they're assessing patients and evaluating them and also administering a sample if they should choose to do that and getting that wow experience in the clinic. But JD, do you want to add to that?
JD Schaub: Yes. I think the simplest way to think about it Louise is we've been kind of over emphasizing prudent expense management from a base infrastructure standpoint. So coming out of kind of the, the reemergence of the business as RVL dedicated to UPNEEQ. We've streamlined the G&A side of the business, and that's very stable right now, and we're allocating everything that we can while being cognizant of getting to cash flow breakeven towards sales and marketing. And to Brian's point, this is a boots on the ground driven effort up front, but we're obviously doing it in a step wise manner as we continue to see the signs of stickiness and the opportunity that I think we view as so great from a market standpoint.
Brian Markison: So Louise I'm sure I forgot a question that...
Louise Chen: Inflation?
Brian Markison: Oh, inflation. Inflation, I think it's going to hit us a little bit on the interest rate possibly with Ethereum, but other than that the war for talent continues and we will only be on-boarding people who have a proven track record in aesthetics that we feel a bit, meet our culture and our needs. So I think supply chain, I think we're pretty much set there. I don't see a lot going on to affect us negatively as we go forward, other than making sure we have continuous supply and Nephron has been doing a great job with that. I think JD would like to add a little bit as well.
JD Schaub: Well from a product standpoint, I think we feel really good in this environment about the stickiness. We have optimized price against the backdrop of rising inflation and we haven't seen the drop off in terms of things like fill rate and obviously new account openings as we've expanded into aesthetics. And I think from my perspective that that gives me a lot of confidence that we're working in a business model that allows us to operate, drive growth and build irrespective of some of the macroeconomic factors. And I think, look when you think about particularly the aesthetic side it's all, all systems go. I mean, the demand for aesthetic procedures continues to be resilient and I think it's not just this environment, we've seen it historically over the last 10, 15 years as that channel continues to grow. So we feel really good about our product and the business model in this type of environment.
Louise Chen: Great. Thank you very much.
Brian Markison: Thanks Louis.
Operator: We will take our next question from Greg Fraser with Truist Securities. Your line is open.
Greg Fraser: Good morning guys. Thanks for taking the questions. On aesthetics, can you talk more about the average order size and how the order side has been changing for practices that have placed multiple reorders? And then can you speak a bit more about consumer awareness, to what extent are patients asking their providers about UPNEEQ? And how are you thinking about building consumer awareness over time? Thank you.
Brian Markison: So I'll start with the orders and thanks for the question, Greg. So I think we're actually seeing what you would expect to see around the size of orders pretty consistently. The opening orders are a couple of cases and I think that's what we expected. This is a new product. I think there's a lot of interest and intrigue. But you how is it going to work in my practice? And so that's been very consistent through the first 13 weeks. And then I think as we look at the reordering accounts, which continues to grow week-to-week as well, you do see a tick up in terms of the second reorder being closer to maybe 2.5 cases and the third reorder being closer to three cases. So some really good signs in terms of what's happening as this product begins to take shape within each practice.
Mike DePetris: Consumer awareness, I think, was the next question.
Brian Markison: And then, yes, so we are absolutely seeing a greater influx of patients in practices on both the eye care and the aesthetic side walking in asking about the product. One of the things that, I think, right now from a consumer awareness standpoint that we're focused on because we're spending as much time as we can in these practices is branding the practice, whether that's waiting rooms, treatment rooms, so that it's creating a link between whatever they are in there for since there has never been a product like this and it's not a focus area, if you will, in terms of a drop to lift the lid and open the eye. And that is resulting in more people asking. I also believe the consistency of feedback in terms of how active these practices are on social media, both with their peers, but also with their patient base. No doubt contributing. So that's sort of here and now. As we look at it, we continue to be focused on getting to a reasonable number of aesthetic practices and laying a foundation before we start to think about ramping direct-to-consumer spend. And so what we'll do in the interim is continue to focus maybe more in a pilot setting, looking at certain markets, testing some different messaging, and content and making sure that the engagement that we've seen so far in terms of the minimal efforts that we have put behind consumer marketing continues to be sort of above the average. So that's kind of in summary, how we look at it.
Greg Fraser: Thanks for taking the questions.
Operator: We'll take a follow-up question from Douglas Tsao with H.C Wainwright. Your line is open.
Douglas Tsao: Hi, good morning. Thanks for taking the follow-up. I think you indicated Brian that you expected to expand aesthetics salesforce in the third quarter. I'm just curious to understand why 3Q just given the momentum you're seeing now; why not sort of do that earlier? Is it just a question of finding the right people? Thank you.
Brian Markison: I think we're really thoroughly new in the game, right. Our 50-person team really went live in the market in February. And we also made a resource shift to pull down a few resources from eye care as we're seeing the aesthetic ramp. And we've always had it in our plan to expand the team. And I think we were looking for the right time within our expense space, but also to build the right kind of experience so that when we did expand, we had a pretty good playbook for what we would expect from every single new person coming into the company. I think JD; you probably want to add to that.
JD Schaub: Yes. I think, look, we've certainly talked about, and we have added kind of one off territories in recent months. But I think when we look at the driver of an expansion; it's really to be on the same page with what we're doing and how we're doing it. And so that's sort of the runway between today and just adding territories. We're going to add a couple of regions, so we need to get a couple new managers in, we want the managers to be an integral part of the hiring process and take ownership of the teams that they are building. And then we want to put them through a consistent training meeting so that when we hit the ground in Q3 with an expansion that will put, I guess, more than 50% growth over the current aesthetic footprint it's guns blazing. So a little bit of just being thoughtful and considerate about impact as we layer in an additional group of 25 to 30 reps in a couple of regions.
Brian Markison: And making sure that we have the room within the expense guidance that we have previous given.
Douglas Tsao: And Brian, could you just review just sort of the expense guidance and just the cadence and how we think about it should go through the rest of the year? Thank you.
Brian Markison: Yes, I mean, we've typically and consistently said that our operating expense will be roughly $7 million per month run rate. And we're not looking at a change to that. If we see some pretty impressive tailwinds, then obviously we're going to add to it, but right now we're right on our plan. Our second quarter looks to be within the range of the analyst estimates, which is very strong. So yes, we're staying with the $7 million a month OpEx and we're going to put our head down and execute.
Douglas Tsao: Okay, great. Thank you.
Brian Markison: Okay.
Operator: And we will take a follow-up from Louise Chen with Cantor. Your line is open.
Louise Chen: Hi, thanks for taking my follow-up question here. I was just curious, so these additional, and I think you said 25 to 30 reps that you're going to add, could that drive upside to your first quarter guidance that you gave on revenues, or is that part of your anticipated plan, when you thought about everything and the guidance for this year? Thanks.
Brian Markison: Completely part of the plan, Louise.
Louise Chen: Okay. Thank you. 
Operator: [Operator Instructions] We'll take our next question from Balaji Prasad with Barclays. Your line is open.
Balaji Prasad: Hi, good morning, everyone. And thanks for the questions. So, Brian, I missed the last ten minutes of the call. So apologies if I'm repeating any of the questions. Firstly, in terms of your spend, can I get a sense of what you're spending towards your promotional efforts and campaigns. I'm probably indirectly complimenting you, but when I see peers with similar launches, their spends seem to be in the tens, several tens of dollars or even hundreds of millions of dollars versus your spend. So I don't want to get a sense of what you are spending on and where. And maybe extension of that is how immediate is impact from being featured and in beauty magazines, aesthetic magazines, and the recall effect that it creates? Second, we have seen pretty strong aesthetics numbers across the industry, be neurotoxins or fillers. I want to see if that ties in with the trend that you're seeing on the ocular side and if there is any way of quantifying it? I know it's still too early in the day for you, but if there is something that you can quantify there? Lastly, a bookkeeping question on the contingent milestone gains, I thought you reported $5 million at the end of March for 1Q. I seem to be seeing around $0.6 million in the results. Is this something that I'm missing? Thanks.
Brian Markison: All, we're going to start with the cash answer, then work our way backward. Mike, you want to take that?
Mike DePetris: Yes, Balaji the milestone payments that we recognized those were contingent income that we recognized below operating income. That's not anything that you'll find within revenues. So that $5 million contingent gain in cash to the quarter is classified below operations. So if you look at the tailwinds affecting the industry we kind of love it because it means more people are going in to see they are sufficient med spas, et cetera. But remember, we're not anchored to a class like a toxin filler, et cetera. So we're our own category and the growth we're going to see as the general aesthetic market grows is only going to help us. And the enthusiasm for the brand from, you mentioned Shape Magazine or El or Vogue, what's happening and we're seeing it is more and more people are seeing the social proof out there. And we had one of the housewives go on Instagram the other day. I forgot which particular show she is from and was talking about UPNEEQ. So we're seeing a lot of organic, social proof and it is building that ground swell. And when we see patients come into the pharmacy who have asked for a prescription, the fill rate is extremely high and it's gratifying to see. On the expense space, look, the majority of our spend is directed toward field sales followed by marketing. And a lot of the marketing spend is field support digital. And we're now beginning to ramp up our medical education effort a bit in aesthetics. But look, we are certainly spending a lot less than a lot of our peers. But we're also conscious of the fact that we have no competition. So we're not in a migraine race or a toxin race we're going to build carefully, we can spend carefully. And we are seeing the growth and we're being rewarded for it. I think, JD, do you want to add to that?
JD Schaub: No, I think you summed it up. 
Mike DePetris: All right. So Balaji, I think, I nailed all the questions, but if I left one out, let me know.
Balaji Prasad: No, you got it all. Thank you all.
Mike DePetris: All right. Thank you, sir.
Operator: We have no further questions on the line at this time. I will turn the program back over to Brian Markison for any additional or closing remarks.
Brian Markison: Okay operator, thank you. I want to thank everyone for again for joining the call and putting up with us. And also thank the team at RVL if they are listening or listen later, because they are doing a hell of a job and I really appreciate it. Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time. And have a wonderful day.